Operator: Good day everyone and welcome to the Oracle Fourth Quarter and Fiscal Year 2023 Earnings Call. Today’s call is being recorded. I would now like to turn the conference over to Ken Bond. Please go ahead.
Ken Bond: Thank you, Lisa. Good afternoon, everyone, and welcome to Oracle's fourth quarter and fiscal year 2023 earnings conference call. A copy of the press release and financial tables, which includes a GAAP to non-GAAP reconciliation and other supplemental financial information, can be viewed and downloaded from our Investor Relations website. Additionally, a list of many customers who purchased Oracle Cloud Services or went live on Oracle Cloud recently will be available from our Investor Relations website. On the call today are Chairman and Chief Technology Officer, Larry Ellison; and Chief Executive Officer, Safra Catz. As a reminder, today's discussion will include forward-looking statements, including predictions, expectations, estimates or other information that might be cause actual results to differ from what we are talking about today. Throughout today’s discussion we will present some important factors relating to our business which may potentially affect these forward-looking statements. These forward-looking statements are also subject to risks and uncertainties that may cause actual results to differ materially from statements being made today. As a result, we caution you against placing undue reliance on these forward-looking statements, and we encourage you to review our most recent reports, including our 10-K and 10-Q and any applicable amendments for a complete discussion of these factors and other risks that may affect our future results or the market price of our stock. And finally, we are not obligating ourselves to revise our results or these forward-looking statements in light of new information or future events. Before taking questions, we'll begin with a few prepared remarks. And with that, I'd like to turn the call over to Safra.
Safra Catz: Thanks, Ken, and good afternoon, everyone. As you can see, Q4 was another fantastic quarter and the end of a great year. But before I get to the numbers, I'd like to go over our journey to get here. Three years ago, I shared with you that our own business transformation had reached a crossover point as our fast growing businesses had eclipsed the size of our declining businesses. And as a result, this would inevitably drive revenue growth acceleration going forward. Now, I don't blame you for not believing me at the time. Fiscal year 2020 growth was zero. Well, as you can see, this has played out with organic revenue growth accelerating significantly. And that's despite the closure of our nearly half a billion dollar Russia business. Since fiscal year 2020, our strategic back office SaaS business has more than doubled in size. And consumption of our Gen 2 cloud infrastructure service is now seven times larger. And while competitors have seen their growth rates drop precipitously over the last year, our cloud infrastructure growth rate has essentially doubled from last year to 77% this quarter and with Gen 2 OCI growth even higher. And we're far from done. In fact, I just told my team, I think we're at about the middle of the beginning. Looking ahead, I see even more growth opportunities that should help power future growth acceleration in the future. We remain committed to the fiscal year 2026 targets that we shared with you last fall at our financial analyst meeting. And our exploding AI demand leaves us significant upside. Our momentum has been driven by two fundamental differences from our competition. One, highly differentiated technology. And two, a much better customer experience. Firstly, our cloud applications are very popular with a growing base of customers in part because we are the most modern, comprehensive, and innovative set of apps across back office, CX, and industry applications. We implemented AI machine learning capabilities years before anyone was talking about it. And it helps our customers run their businesses every day. To complete the picture, we can serve customers of any size around the world from small businesses on NetSuite to global enterprise on Fusion in all industries. Having the best cloud application technology has helped us grow the business to $11 billion in SaaS revenue while expanding gross margins. On the infrastructure side, we're seeing more and more media articles reporting on the unique capabilities of OCI and our database technologies. Larry will explain our unique differentiation in a moment. But the result is that customers are choosing to run on Oracle infrastructure for all their requirements, be they new services like AI training or services we're known for, like database and Java. To complement the technology, we've changed our culture such that we are totally focused on our customers' success. That partnership spirit starts with engineering as we work hand-in-hand with companies as they try out our technology and continues all the way through their success with us. There's no question that this close partnership with our customers has led to our success. As part of that, we've also created an organization called Customer Success Services, or CSS. This group ensures that customers get the most value from their Oracle purchases, from planning to activation to implementation to support to anything else they need to succeed. We think this unique approach, which customers already tell us they love, ultimately drives overall customer satisfaction, and that results in higher renewal rates, expansion rates, and referencing. Now, I'll turn to Q4. As always, I'll discuss financials using constant currency growth rates, and also provide a full picture. I'm going to share with you results, including and some excluding Cerner, so that you have it all. Total cloud revenues, SaaS plus IaaS, was $4.4 billion, up 55%, with IaaS revenue of $1.4 billion, up 77%, and SaaS revenue of $3 billion, up 47%. Excluding Cerner, total cloud revenue, SaaS plus IaaS, was up more than 33%, at $3.8 billion. Total cloud services and license support revenue for the quarter was $9.4 billion, up 25%, driven again by our strategic cloud applications, autonomous database, and our Gen 2 OCI. Application subscription revenues, which include product support, were $4.4 billion, up 37%. Application-specific revenues, including support, but excluding Cerner, were $3.4 billion, up 11%. SaaS cloud revenue, again, excluding Cerner, was $2.4 billion, was up 17%. Our strategic back office SaaS applications now have an annualized revenue of $6.6 billion, and grew 24%, including Fusion ERP, up 28%, and NetSuite ERP, up 24%. Together, our strategic back office businesses are now larger and have grown faster than our local competitor for four straight years. Infrastructure subscription revenues, which also include support, were $5 billion, up 15%. As mentioned already, infrastructure cloud services revenue was up 77%, excluding legacy hosting services. Infrastructure cloud services revenue grew 89%, with an annualized revenue of $5.2 billion, including OCI consumption revenue, which was up 112%. Cloud at customer consumption revenue was up 60%, and autonomous database was up 47%. Database subscription revenues, which include database support, were up 6%, highlighted by cloud database services, which were up 41%. As on-premise databases migrate to the cloud and cloud at customer, we expect these cloud database services will be a third leg of revenue growth and revenue growth acceleration, alongside back office SaaS and Gen2 OCI cloud services. Software license revenues were $2.2 billion, down 14%, following the 25% growth we saw a year ago in Q4. So, all-in total revenues for the quarter, including Cerner's revenue contribution of $1.5 billion, were $13.8 billion, up 18%. Shifting to margins, the gross margin percentage for cloud services and license support was 78%, as a result of the mix between support and cloud. Last year, Oracle license support revenues, with its mid-90s gross margins, represented about 62% of cloud services and license support revenue, and now it's down to 53%. But this is happening because our cloud services are growing much, much faster than license support, even as license support continues to grow. Most importantly, gross profit dollars of cloud services and license support grew 19% with Cerner, 10% excluding Cerner in Q4. Additionally, I would note that IaaS gross margins improved substantially from last year, and I expect IaaS gross margins will continue to improve. While we have continued to build data center capacity, we've also seen our margins go higher as these new cloud regions fill up. Non-GAAP operating income was $6.2 billion, up 12% from last year. The operating margin was 44% as we continued to integrate Cerner. As we drive Cerner profitability to Oracle standards and continue to benefit from economies of scale in the cloud, we will not only continue to grow operating income, but we will also grow the operating margin percentages. The non-GAAP tax rate for the quarter was 9.2%, and the non-GAAP EPS was $1.47 in U.S. dollars, up 8% in USD, 10% in constant currency. The GAAP EPS was $1.19. For the full fiscal year, total company revenue was $50 billion, up 22%. And excluding revenue, total revenue grew 7%. Total application subscriptions were 35%, and 10%, excluding Cerner, compared to 8% last year. And total infrastructure grew 10%, compared with 5% growth last year. Clearly, our revenue growth continued to accelerate again this year as investments into our cloud businesses are paying off. Total cloud services and license support revenue was $35.3 billion, up 21%. Total cloud services by itself were up 50%, to $15.9 billion. And excluding Cerner, total cloud services were up 29%, to $13.6 billion. And with revenue growth acceleration in both strategic back office cloud applications, which were up 27% for the year, and cloud infrastructure services, which were up 63% for the year. Non-GAAP EPS was $5.12 in USD, up 4% in USD, and up 10% in constant currency. The full year operating margin percentage was 42%. At quarter end, we had nearly $10.2 billion in cash and marketable securities. And the short-term deferred revenue balance was $9 billion, up 9%. Operating cash flow for the quarter was up 42%, at $5.6 billion. While free cash flow was up 46%, at $3.7 billion. Now over the last four quarters, operating cash flow was $17.2 billion, up 80% from last year, as we're now seeing cash flow benefits from our cloud transformation. With capital expenditures of $8.7 billion this year, free cash flow was $8.5 billion, up from $5 billion last year. And I expect that we will see very good results in our fiscal 24 free cash flow. The remaining performance obligation, or RPO balance, is $67.9 billion, up 47% in constant currency, due to strong cloud bookings as well as Cerner. I would also note that organic RPO was 15% in constant currency, as a result of our customers burning through their commitments at a heightened rate. I expect that you'll see this number run up as customers reload and new customers sign up. Approximately 49% of total RPO is expected to be recognized as revenue over the next 12 months. CapEx was $1.9 billion in Q4 and $8.7 billion for fiscal year 2023, as we continue to build capacity for existing bookings and our customers' growing needs. Our investment strategy for adding capacity remains to build many, many identical cloud regions. Our starting point is smaller, which allows us to go where competitors cannot. And this continues to be an advantage for us. Given the demand we have and see in our pipeline, I've increased our CapEx projection and I now expect the fiscal 2024 will be similar to this year's CapEx. I also expect our Gen 2 OCI business will have another excellent year of revenue growth as existing centers fill up and new centers come online. As always, we remain careful to pace our investments appropriately and in line with booking trends, which is why our gross margins are up in our cloud. We now have 42 public cloud regions around the world with another 7 being built. 12 of these public regions interconnect with Microsoft Azure, giving customers true multi-cloud capabilities. We have many, many clouded customer implementations, 10 dedicated regions, and 9 more planned. And lastly, we have 9 national security regions live with immense demand for more. As we've said before, we're committed to returning value to our shareholders through technical innovations, strategic acquisitions, stock repurchases, prudent use of debt, and a dividend. This year, this fiscal year, we repurchased 17 million shares for a total of $1.3 billion. In addition, we paid out dividends of $3.7 billion over the last 12 months as the Board of Directors declared a quarterly dividend of $0.40 per share. Now to guidance. And as I've said before, our fundamental principle is to grow EPS while substantially increasing cloud revenue growth. Let me turn to my guidance for Q1, which I'll review on a non-GAAP basis like everything else. If currency exchange rates remain as they are now, currency should have a 0 to 1% positive effect on total revenue and a $0.01 positive effect on EPS in Q1. However, actual currency impact may be different. Total revenues for Q1, including Cerner, are expected to grow from 7% to 9% in constant currency and are expected to grow from 8% to 10% in USD at today's exchange rate. Additional upside depends on how fast we can put out even more capacity to our customers. Total cloud revenue, again, excluding Cerner, is expected to grow from 28% to 30% in constant currency and 29% to 31% in USD. Non-GAAP EPS is expected to grow between 8% to 12% and be between $1.11 and $1.15 in constant currency. Non-GAAP EPS is expected to grow between 9% to 13% and be between $1.12 and $1.16 in USD. My EPS guidance assumes a base tax rate of 19.5. However, as you see nearly every quarter, one-time tax events could cause actual tax rates to vary. Now, before I finish, let me also give you some initial thoughts on fiscal year 2024. As I described, and Larry will elaborate in depth, we are seeing unprecedented demand for our cloud services and especially our AI services. As a result, I expect cloud revenue, excluding Cerner, will continue growing at at least similar rates to what we experienced in fiscal 2023, even though our base is much bigger and may be higher. As our high-growth cloud revenues are becoming a larger, larger portion of total revenue, we are seeing an acceleration of our total revenue growth. I expect this trend will continue in fiscal 2024. And of course, we also expect to deliver a higher non-GAAP operating margin percentage this coming year as well. Okay. Before I hand off to Larry, I want to take a moment to thank our customers for making fiscal year 2023 such an enormous success. You've been wonderful partners, and we thank you for your trust in us. And I want to thank our employees for being focused on advancing our customers' missions so spectacularly. Some of you are new, and many of you have been with us for years, in fact, even decades. And I think you all see that our best days are, in fact, ahead of us. Thank you for your loyalty and for your incredibly hard work. And thank you, Larry, our CTO, our Chairman, and our founder for leading with brilliance, determination, and vision, and allowing us to all be part of this incredible journey, which is just getting started. So thanks, Larry. And with that, I'll turn it over to you for your comments.
Larry Ellison: Thank you, Safra. The hardware and software in Oracle's Gen2 Cloud is fundamentally different than other hyperscalers' clouds. The CPUs and GPUs we rent to customers are interconnected using an ultra-high-performance RDMA network, plus a dedicated set of cloud-controlled computers that manage security and data privacy. Oracle's unique set of hardware and software building blocks enable our Gen2 Cloud to deliver much higher performance than any of our cloud competitors. And in the cloud, since you pay by the minute, if you run twice as fast, and we do, you pay half as much. What is especially interesting in today's world is that all of Oracle's cloud data centers have a high-bandwidth, low-latency RDMA network that is perfectly optimized for building the large-scale GPU clusters that are used to train generative large-language models. NVIDIA themselves are doing AI development in the Oracle Gen2 Cloud. And we are partnering with NVIDIA to build the world's largest high-performance computer, an AI computer, with 16,000 GPUs. The extreme high performance and related cost savings of running generative AI workloads in our Gen2 Cloud has made Oracle the number one choice among cutting-edge AI development companies, including Mosaic ML, Adept AI, Fouhear [Ph], Modal Labs, Character, HyperReal, SliceX, Vector Space Bio, Falconry, Respeacher, Altair, InfoWorld, 12 Labs, Layton Space, plus many, many others. In the aggregate, our generative AI cloud customers have recently signed contracts to purchase more than $2 billion of capacity in Oracle's Gen2 Cloud. One last thing. In partnership with Cohere Oracle is launching a generative AI cloud service for enterprise customers. This new service protects the privacy of our enterprise customers' training data, enabling those customers to safely use their own private data to train their own private specialized large language models. Oracle's application development teams were early adopters of this new AI cloud service. We used our own private data to improve and extend the training of existing Cohere large language models. This supplementary training resulted in two new specialized large language models, one for medical professionals and one for first responders. Specialized large language models will be instrumental in helping highly trained professionals use their precious time more efficiently. As I said, Cohere and Oracle are working together to make it very, very easy for enterprise customers to train their own specialized large language models while protecting the privacy of their training data. Over the next few years, lots of companies are going to train their own specialized large language models. Our partner, Cohere, is also using the Oracle Gen2 Cloud for training their own large language models. In health care alone, specialized large language models will speed the discovery of new life-saving drugs, improve the quality of patient care, and increase access to health care by lowering costs. A technology revolution is dawning. Back to you, Safra.
Safra Catz: I think we're going to take some questions. Ken?
Ken Bond: Yes, thank you, Safra. Thank you, Larry. Lisa, if we could please prepare the audience for Q&A.
Operator: Thank you. [Operator Instructions] We'll take our first question from John DiFucci with Guggenheim.
John DiFucci: Thank you. My question's for, I think, mainly for Safra, but maybe Larry has some thoughts, too. It's somewhat surprising to see the acceleration across all your cloud businesses when others, whether it's the other hyperscalers or even other cloud-based vendors, are seeing just the opposite effects in this environment today, in today's environment. And that's important. We get the better performance at a lower price. That makes a lot of sense, at least in, I've been around quite a while, I guess. And usually, in tough environments, we see people just freeze. But that's not what's happening here. So the question, in addition to what I just said, better performance at lower price, why? Is there anything else, outside of like Oracle, even, that would show your cloud business accelerating when other pretty good companies are doing just the opposite?
Safra Catz: Let me take a start at it. And Larry, you add in here. First of all, the fact that OCI is just growing and accelerating is because customers want to spend less. And they also need to do more. They need to stay competitive. They need to stay agile. And so our technology, whether it's our applications, which allow them to spend a lot less and make better decisions running their business, so that's very, very natural. So our Fusion, and there's just so many things about Fusion that are so compelling. It costs less, it just helps them run their business. But then you go to OCI, where some of these customers are coming from our competitors. And as Larry said, imagine, Larry talked about the workload being twice as fast on OCI. But imagine it's 10 times as fast, or 100 times faster, or as is common in some cases, 1,000 times faster. So imagine what that bill looks like. So we have compelling technology at a much lower price. And that's without a doubt causing our customers to move to us more quickly. I don't know, Larry, if you want to add into that.
Larry Ellison: Well, I'm just going to be a little more specific, because Safra says, I said, if we run twice as fast, we cost twice as much. No, we cost half as much, half as much. We run twice as fast, we cost half as much. But sometimes we do run a lot more than twice as fast. And we cost a lot less than half as much. We announced a new database, a new version of MySQL with a fast query processor called HeatWave. And we have customers moving from Amazon Aurora, where they're experiencing 1,000 times speedup, versus Aurora, we're 1,000 times faster in query processing than Amazon's version of MySQL. It's an open source database that we added a fast query processor to. We're much, much cheaper. And that's one example. In a lot of cases, it's much more than two to one. We can build GPUs that other people can't build because we have a fast network. We use this very fast RDMA network, and we started with that. In our Gen2 cloud, we had nothing but our entire network was a super-fast network, which means most of the applications, most of the things you run in the Oracle cloud are going to be much faster than our competitors' clouds because they don't use that kind of network. So we have huge cost advantages, huge cost advantages across a broad portfolio of applications. Let me throw in one thing. It cost one-tenth, one-tenth to implement Fusion ERP versus SAP's new ERP system with HANA. So the cost of implementing our applications are dramatically lower than our competitors. So we have a lot of people moving from AWS to our cloud for infrastructure services, a lot of people continuing to move from SAP to Fusion. We're seeing that migration, and we're taking a lot of market share from our competitors. That's why we're doing better, and they're not doing quite as well.
John DiFucci: Okay. Well, thank you, and really nice job. Thanks.
Larry Ellison: Thank you.
Operator: We'll take our next question from Brad Zelnick with Deutsche Bank.
Brad Zelnick: Great, thank you so much. Congrats on a strong finish to the year. Larry, Oracle is somewhat unique in being a leader in both infrastructure and applications. And when we look back, I don't know, maybe five years from now, how much of the generative AI opportunity will have been captured on the infrastructure side of your business versus within apps? And I'm not just thinking strategic back office apps. I'm thinking front office, Cerner, and all the other verticals as well.
Larry Ellison: Yes, absolutely. It's very hard to answer that question. A long time ago, I said the biggest difference between - the biggest strategic difference between Oracle's cloud and everyone else's cloud is actually not the RDMA network. That's a technical difference. The biggest strategic difference is that we do both that we use our infrastructure and build applications with it. So we learn a lot about how we can improve our infrastructure by building lots of applications, enterprise-scale applications, on top of our infrastructure. So we have this continuous feedback loop. We're building applications, obtaining insights, making improvements in our productivity. We have a new programming language. We have Java, and we love Java. We use it a lot for building applications. But we have this other low-code application development tool called APEX. And we're now building a lot of our applications in APEX. And our productivity gains are, again, a factor of 10. And we build the applications in one tenth the time, or one tenth the amount of people, or at one tenth the cost. But these are not typical low-code applications. These are applications that can scale to millions of users and all over the world. So most low-code applications are for small projects. We use them for applications we've rolled out globally. And we've made our underlying infrastructure, the APEX development environment, the underlying APEX database, which is the Oracle Autonomous Database, has made our application developers dramatically more productive. It's one of the reasons why we bought into the idea that we could rewrite a whole suite of medical applications in a very, very short period of time, that we could redo Cerner very, very quickly because of these underlying tools. Let me close with one last thing. Again, we use AI technology to make our database better. And it's an autonomous database. You don't need DBAs. It recovers itself. It updates itself. It adds more space. It really is a self-driving database. We've used AI technology to do that. We've used AI technology throughout our cloud, where our cloud is self-healing. We repair bugs while the cloud is running. We have an autonomous Linux operating system that's different than all of the other Linuxes. You can patch it online. It patches itself online. It repairs itself online. So again, by being in those two businesses, applications and underlying infrastructure, we again, use our infrastructure and make it better to make our applications better and we gain insights as what we need to do with our, what we need to add to our infrastructure to make the applications better. So, infrastructures make the applications better, applications make the infrastructure better. We're the only company with that continuous feedback loop and I think it gives us a huge competitive advantage in technology. It's why we have technologies that other people don't have.
Brad Zelnick: Very helpful, color. Thank you, Larry.
Operator: We'll take our next question from Siti Panigrahi with Mizuho.
Siti Panigrahi: Thank you and congrats on a great quarter. I want to dig into the application part of the business. Very impressive SaaS growth, especially in Fusion Apps and Cloud ERP in this macro environment. So, what are you hearing from your customer in terms of migrating to the SaaS application and what's driving that? And also, the CloudWorld last year, you talked about the opportunity in combining horizontal application with vertical offering. So, how is that helping SaaS growth?
Safra Catz: Okay. Well, I will tell you that there's no question. Our secret weapon is the fact that we have vertical applications also. Many of our customers end up wanting to buy a vertical application and Fusion together and it's industry by industry. We will be posting online probably some of our wins for the quarter, but what you'll see is when we have existing customers in a segment and a vertical application in that, we truly are, without a doubt, the most popular. Whether it's healthcare with all of our existing customers, whether they be Cerner customers, the fact that we have ERP and HCM, SCM, all of our horizontal applications, CX, as well as the vertical applications, it makes us very tough to beat. New healthcare wins are going to be listed many, many, many go-lives, the same in financial services, retail, hospitality, these whole segments end up wanting to buy their entire solution from us. And that really makes us also very sensitive to their needs and we can fill them much better. So, that's been a big winner for us. And I will tell you that our customers also, when they move from on-premise, they realize that they're moving into the 21st century with a much better system, but also a much lower cost system that also is kept current every 90 days. New capabilities become available. They'll never have to do that big implementation every five years like some of the older companies who say they're cloud, but aren't actually cloud. They're just hosted. So, our products are just so differentiated all around that we're just building momentum around the world. Go ahead.
Larry Ellison: Let me just add one example to Safra's comments, which I think are right on. But there's an interesting example. Everyone knows we compete with Workday in HCM or HR, whatever. When we bought Cerner, we decided that we were going to take our HCM system, our HR system, and specialize it, add features specifically for the healthcare industry. Now, it turns out managing a workforce in a hospital is very complex because the nurses might have private patients at home that they're seeing. They might work for two or three different hospitals. They might do some work in clinics as well. So, scheduling these people who have multiple jobs, doctors may have teaching assignments in universities. Obviously, they travel and they also have their own office hours. They may have a private practice in addition to working at the hospital. Scheduling these professionals is very, very tricky. Recruiting the professionals is very, very tricky. Paying them when you're working three days a week, one week, two days the next week, six days the following week, paying them can be very complex. So we have had a major effort in our HCM system, the Oracle Fusion HCM system, and adding all the features that hospitals need to manage their professional staff. Now, there's no way, there's no way we would have done that unless we had a focus in the healthcare industry. So we not only have all the Cerner healthcare apps for hospitals, we've specialized our ERP system for hospitals, we've specialized our HCM for managing the hospital workforce. We've done a bunch of things around the healthcare industry. One of the things we want to do is, we're the largest provider of clinical trial software. But the clinical, the results of the clinical trial goes to a government regulator. And we're now working with the government regulators to develop the software that allows them to take the clinical trial output in digital form and get it through the regulatory process much faster at a much lower cost. So we're looking at the entire healthcare ecosystem and trying to automate both sides of the transaction. The pharmaceutical company that's designing the drug, the hospitals that are testing the drug, and the regulators that are approving the drug should all be digitized. And we are well on our way to doing that because of our investment in Cerner. And now what has blossomed into an investment across the entire healthcare ecosystem.
Siti Panigrahi: That's a perfect example, Larry. Thank you both for the color.
Operator: We'll take our next question from Raimo Lenschow with Barclays.
Raimo Lenschow: Hey, thank you. Could I switch gear a little bit? A question for Safra. Safra, we now have Cerner in as part of Oracle. Where are we on the cost, on the synergy capture and cost takeout? And so are we, do you see we are done there or are we kind of still at the beginning of a journey? Thank you. And congrats for me as well.
Safra Catz: Thank you. I actually feel like we're still at the beginning if you want to know the truth. We wanted to stabilize the operation. We definitely didn't want to risk breaking anything. You will be seeing some more significant changes and we have legal entity combination imminently and that actually gives us a lot more flexibility regarding the way we operate the business. We are just at the very beginning of it. Their margins are nowhere close to the way we run our company and we are right at the, I'd say we're at the beginning-ish, sort of at the beginning of the middle at most. We've got a long way to go on just operationally and we've got a lot of work going on on the development side as we bring our technical capabilities into the product and move them into the Oracle Cloud. There are a lot of savings as we do that also.
Raimo Lenschow: Okay, perfect. Thank you.
Safra Catz: Thank you.
Operator: We'll take our next question from Mark Moerdler with Bernstein Research.
Mark Moerdler: Thank you very much for taking my question. Congratulations on the quarter and frankly on the guidance. I'd like to get a better understanding about the underpinning of the OCI Gen 2 business. Specifically, can you give us some color on the customer concentration, industry concentration, both in the existing customer base as well as the pipeline and how you think that's going to change over time? Thanks.
Safra Catz: I don't know, Larry, if you want to take a stab at it. The reality is that our customers run from very small to very large. As a general matter, we're a small percentage of their IT costs when they get started and sometimes a small percentage of their cloud spending. As they try us out, they move larger percentages of their business off of other clouds or from on-premise. We're at the very beginning of this movement, especially on the database side as more and more of our customers, our big customers often have cloud a customer or dedicated regions is sort of their ultimate goal for their most critical database workloads. We're at the absolute beginning of that with most of our customers. It's basically what we find is if you give us a chance, it is so much better, so much more cost effective, of course, so much more secure that customers very quickly realize how advantageous it is to move. It's all industries. As some of you know, auto companies are doing their simulations with us. It's really across industries, across sizes. It's very, very diversified. Larry, I don't know if you have additional comments.
Larry Ellison: Yes, maybe the most interesting industry that's adopting the Oracle Cloud are people who are in the technology business. So a lot of our customers are, I mean, their business, I mean, Zoom, in the early days of Oracle, it wasn't long ago we were talking about Zoom and still very excited about Zoom. And they came to us, one of our earliest, very, very large customers. And a lot of their business is just running an app, if you will, an application on the cloud. And a huge amount of their expense is running that application in the cloud and doing it efficiently. And where we're most obvious, I mean, NVIDIA is an extraordinary company, but Cohere is a great company. But a lot of their expense is running AI training in the cloud. And when it's that much of your expense, if we're a lot faster, they do a lot of due diligence about the technology. And it became very apparent, a lot of the early adopters, if you will, and we're still in the early stages, a lot of the early adopters at scale of the Oracle Cloud were highly technical companies like a Zoom or an NVIDIA, I can name a bunch of others, or a highly technical industry like phone companies, telecommunication companies, where they see the advantages, not only, by the way, the performance and cost advantages. Another thing that we're very proud of is because of our network, we're highly reliable. And because of the autonomy, we're highly reliable. If, for example, the Oracle Autonomous Database doesn't lose your data, because you can't make a pilot. Usually a lot of the data loss is caused by pilot error. Well, with the Oracle Autonomous Database, the driver is the system. It's a self-driving database. So you can't make a human error that causes you to lose data. So it's very, where a phone company has to be up 24 hours a day, where a bank really is not supposed to lose your data, where a huge percentage of your expenses are your own cloud expenses, and your technology company delivering technology services from somebody else's cloud. In those areas is where we've seen adoption of Oracle at scale. And the less technical companies are now beginning their journey of looking more closely at the Oracle cloud. And when they do look closely, we compare very favorably with the other clouds.
Mark Moerdler: That's very helpful. I really appreciate it.
Operator: And we'll take the last question from Kirk Materne of Evercore ISI.
Kirk Materne: Hi, thanks very much. Just a quick one for Safra, if I could. Safra, obviously, a very strong free cash flow quarter. We've gotten some questions from investors wondering about the CapEx this quarter, where you saw some efficiencies, how you're able to keep CapEx flat going into next year, given the fact that you're going to seeing this great demand for OCI. So could you double click on that a little bit for us? Thanks.
Safra Catz: Yes. I mean, this past year was a big CapEx number as compared to usual. And we put out a lot of capacity. It is getting filled up, and getting used up. And I think we're getting real economies. In addition, one of the things you don't realize is that our underlying infrastructure, for example, I'll give you one example, our underlying infrastructure becomes more and more efficient, even under the best example actually is under Fusion. As we move, as we've moved to OCI, we are also moving to Autonomous Database Serverless, which again gives us added capacity. So we're constantly, constantly becoming more efficient. Our original landing was 12 racks. We're moving to 10 racks to have all the services. We're just continuing to sort of miniaturize our capabilities and it's giving us enormous efficiencies and cost savings. So staying the same as this year, again, if it just becomes overwhelming, it may go up higher, but I think we've got it very much in hand. We've laid out a lot this past year and I think if we stay where we're at, we're going to be able to fit a lot more workloads within that envelope, straightforwardly.
Kirk Materne: Great, thanks and congrats on the order.
Safra Catz: Thank you.
Ken Bond: Thank you, Safra. Thank you, Kirk. A telephonic replay of this conference call will be available for 24 hours on our Investor Relations website. Thank you for joining us on the call today and with that, I'll turn the call back to Lisa for closing.
Operator: Thank you. And that does conclude today's presentation. Thank you for your participation and you may now disconnect.